Operator: Welcome to ITT's 2018 Third Quarter Conference Call. Today is Friday, November 2, 2018. And starting the call from ITT today is Jessica Kourakos, Head of Investor Relations. She is joined by Denise Ramos, Chief Executive Officer; and Tom Scalera, Chief Financial Officer. Also joining us on the call is Luca Savi, President and Chief Operating Officer, who'll be taking over the role of Chief Executive Officer beginning January 1, 2019. Today's call is being recorded and will be available for replay beginning at 12:00 PM Eastern. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. It is now my pleasure to turn the floor over to Jessica Kourakos. You may begin.
Jessica Kourakos - ITT, Inc.: Thank you, Maria. I'd like to highlight that this morning's presentation, press release and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. Please note that our discussion this morning will primarily focus on non-GAAP or adjusted measures, including adjusted segment operating income, adjusted margins and adjusted EPS unless otherwise indicated. During the course of this call, we will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. No forward-looking statements can be guaranteed and actual results may differ materially from those projected. We undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Forward-looking statements made on this call should be evaluated together with the risks and uncertainties that affect our business, particularly those disclosed in our SEC filings. So, now, let's turn on to slide number 3, where Denise will provide the Q3 highlights.
Denise L. Ramos - ITT, Inc.: Thank you, Jessica. And good morning, everyone, to what will be my last earnings call as ITT's CEO. I could not be more thrilled with the results we've posted this year and with a bright future this company has ahead under Luca's leadership. So, thank you all for joining us today to discuss ITT's record third quarter financial results and the significant operational and strategic progress we delivered. Strong operational execution and solid share gains across key end markets drove another record quarter for ITT. Organic revenue grew 7%, organic orders grew 11%, segment operating income grew 17%, segment margins grew 150 basis points to 15.7%, and EPS grew 24% to $0.82 per share. The 7% organic revenue growth was broad-based as all segments grew 5% or better. And organic orders improved 11%, led by strong double-digit growth in Industrial Process and Connect & Control Technologies. In addition, our focus this year on driving productivity under Luca's leadership was relentless. As a result, segment margins improved 150 basis points to an all-time ITT record of 15.7%. This was driven by commercial excellence and strong productivity gains across all three of our businesses. Further demonstrating the strength of our operations was a significant improvement in various cash performance measures. In the quarter, working capital as a percent of sales improved 110 basis points. Adjusted free cash flow improved 30% to near record levels. And our year-to-date adjusted free cash flow conversion reached 100%. As I reflect on our Q3 performance, it is clear that 2018 has been a year of tremendous progress in all three of ITT's strategic pillars of execution, growth and innovation, and effective capital deployment. So let me start with our execution highlights. In Q3, all three business segments delivered significant operating income margin expansion. IP margins grew 270 basis points, CCT margins grew 180 basis points and MT margins grew 80 basis points. And while we have accomplished a lot over the last few years, the operational foundation that we've established all across ITT will support strong margin expansion in the years ahead, as we further improve operations and advance our management system. And as more of our innovation and growth initiatives propel new top line growth, this volume leverage will only add to the already significant operational opportunities we see ahead. To that end, in the strategic focus area of growth and innovation, we once again made significant progress. In the quarter, Motion Technologies continued its track record of gaining share across multiple dimensions. MT won seven new key Friction platform awards that align with our strategy to grow globally. In the quarter, 75% of these wins were in China and 59% were for front axle platforms. In addition, we are currently at 90% of our full-year awards target. Also CCT's intensified focus and investment in driving innovation has enabled this business to grow organic orders 17% and gain share in a variety of strategic end markets. For example, orders for electric vehicle charging station connectors grew 92%, driven by strong demand in North America and Europe. And lastly, at IP, in Q3, we launched another upgrade to our innovative i-ALERT performance sensors to enhance various monitoring capabilities. As a result of our recent i-ALERT innovation, we have increased our year-to-date orders by 44% to nearly 18,000 i-ALERT sensors. Lastly, turning to capital deployment, our 2018 investments in the revolutionary ITT Smart Pad have helped to accelerate on-board testing activities with multiple customers. And in rotorcraft, we have started to increase our investment in technology and production capabilities to fully serve this strategic long-term market. In addition, today we are announcing incremental share repurchases of up to $25 million to capitalize on the unique buying opportunity that recent market conditions have provided. Executing this $25 million, we'll bring our total 2018 discretionary repurchases to $75 million. These new repurchases will be funded by a $38 million gain on the sale of a former Connector operating location. After years of hard work by functional experts across ITT, we closed on the sale of this site in Q3, generating a significant gain that was recognized as a special item. This gain also nicely coincides with the all-time record margins delivered by the Connector operations in Q3. Lastly, in 2018, our net asbestos liability decreased once again, reflecting the current year re-measurement and benefits from favorable insurance settlements. In the year, the net asbestos liability has declined 10% to $456 million pre-tax. And from a cash perspective, the future cash flow projections remain unchanged from our previous projections. These significant advances in our three strategic focus areas are leading us to raise our 2018 guidance once again. We are increasing our organic revenue growth guidance range to 4% to 5%, and we are raising our full-year adjusted EPS guidance for a third time this year. Our new EPS midpoint of $3.14 per share reflects 21% growth versus the prior year. And keep in mind that global tax rate reductions only provide 2 points of our EPS growth. The $0.04 EPS midpoint increase from our prior guidance is largely driven by improved volumes and operational execution, partially offset by foreign currency headwinds, material cost and incentive compensation cost. So with that, let's now turn to slide 4 to discuss our third quarter financial results in more detail. In the third quarter, we delivered strong growth across multiple performance categories. Starting with orders, total organic orders increased 11% on broad-based strength. At IP, we delivered 74% project order growth on chemical and general industrial strength. And we produced 15% short-cycle order growth on gains in oil and gas, chemical and general industrial markets. And at CCT, the 33% growth in connectors included double-digit growth in every major end market. At MT, global automotive Friction orders grew 6% despite a decline in global market production. As a result of this comprehensive order growth, our ITT backlog has increased 23% or $199 million since the beginning of 2018 on a constant currency basis, providing us some nice momentum into 2019. The 7% organic revenue growth was driven by a 6% increase in the transportation end market, as global Friction grew 7%, and aerospace and defense grew 8%. The strength in Friction reflected OEM growth in North America and China and aftermarket strength in Europe. So, let me stop here and provide some additional context on our strong Friction OEM share gains in the quarter. Friction OEM grew 4% in Q3 compared to global auto production decline of 1%. So, here's our results by geography. In North America, we grew 12%, the market increased only 3%. In China, we grew 8%, the market declined 4%. And in Europe, our OEM business was flat in contrast to a market decline of 3%. However, due to our strong aftermarket, total Europe Friction actually grew 6%. So, our ability to gain market share in important markets like China and North America through our strong execution, advanced automation and market-leading Friction technology is proving once again that our business is well-positioned to outgrow the broader markets we serve. In addition, in markets like Europe, where we already have significant market share, our aftermarket presence, which accounts for 50% of our Friction business in Europe, creates a natural hedge. Now, turning to the industrial markets, revenue grew 8%, driven by a 22% increase in chemical and 8% increase in mining and a 7% increase in industrial connectors. And oil and gas, which represents approximately 10% of ITT's total revenue, was up 8% due to a 75% increase in oil and gas connectors. Q3 segment operating income of $107 million grew 17% and reached a record margin of 15.7%, reflecting volume benefits and operational execution driven across ITT. EPS of $0.82 per share also matched last quarter's all-time high, exceeding expectations and growing 24% compared to the prior year. Our EPS performance reflects strong segment growth and a lower tax rate, partially offset by higher incentive costs. Lastly, it is important to note that we once again funded an incremental $0.04 of long-term strategic investments, primarily supporting Friction platform wins, continued development of the ITT Smart Pad and rotorcraft share gains. Given that this will be my last earnings call with you, I'd like to take this time to thank all of the amazing people I've had the privilege to work with over these last seven years, and in some cases, a lot longer than that if I include our ITT parent company days before the spin. Tom, I think we've been together 12 years. It's been quite a journey. We should all be very proud of this company we collectively built. I know I am. And today's record results are a reflection of just how far we've come. But I know that the fantastic businesses and people that drive ITT have so many more great days ahead. The culture and the people at ITT are determined to collectively drive performance with a heightened focus on product innovation and operational excellence that is already beginning to delight our customers, drive our growth and deliver significant value to our shareholders. Many of you know, Luca has been a huge contributor to this success. Not only as a Motion Technologies' President, where he created a global premier transportation powerhouse, but also as an exceptional leader in navigating the significant operational improvement as Chief Operating Officer. So, with today's strong foundation in all of ITT's businesses and with Luca at the helm, driving commercial excellence, innovation and operational execution to even higher levels, our investors and employees should feel very optimistic about ITT's future. I know I do. So with that, let's move to slide 5, where I will turn it over to Luca, who is with us today to primarily discuss our 2018 operational performance. Rest assured, there will be plenty of other opportunities in the future to connect with Luca on his vision for 2019 and beyond. Luca?
Luca Savi - ITT, Inc.: Thank you, Denise, for those encouraging words. And let me be the first to congratulate you on behalf of the nearly 10,000 ITT-iers around the world for this amazing company that you helped create. Your leadership transformed ITT from the post spin Remainco into a credible global company with a solid foundation for long-term growth and continued value creation. Coming from a small village in Italy, I'm very humbled to be given the opportunity to grow this amazing company. Today's ITT is a collection of true gems, as I like to call them, with major competitive advantages that are absolutely full of value. So, going forward, we will build on this foundation that you established, Denise, with an intense focus on our customers, on our people and on lean to continue to expand ITT's value for our shareholders and all our stakeholders. So, here on slide 5, you can see that our intensified focus on operational execution continued to generate significant margin momentum. The 150 basis points of margin expansion was comprehensive, as all three segments expanded margins by 80 basis points or more. Project execution at IP has been an area of intense focus for the team over the last two years. And this rigorous, granular approach is producing significant results. While we have made tremendous progress here, there are still opportunities to take project execution to even higher levels. This is not only the right thing to do for our customers, but it also drives improved financial results and elevated project win rate. All across ITT, it is very clear to me that execution drives share gain, and our third quarter performance at CCT is another example of that simple equation. At CCT, Farrokh and his team delivered another strong margin quarter with 180 basis points of expansion. The real story was the comprehensive strength of our Connector results. It is no surprise that we delivered 33% order growth in the very same quarter that we delivered all-time record margins. The Connector team's tireless dedication to transforming its North American performance is starting to generate meaningful competitive advantages that we will leverage to even higher levels of execution going forward. And at MT, we drove margin expansion across both the Friction and the non-Friction businesses. There are meaningful opportunities for additional MT margin expansion as we ramp up the world-class facility in Silao, Mexico, and further leverage the outstanding facility in Wuxi, China. The non-Friction businesses also have solid margin and top line growth potential as we continue to implement our operating model at Wolverine and Axtone. So, in summary, from an operational perspective, we delivered solid results out of each and every value center. That said, there is still more that we can do to drive profitability, to accelerate cash conversion and to improve our relationship with our customers, to improve on-time delivery, quality and innovative solutions. Now, with that, I'd like to turn it over to Tom to discuss the third quarter segment results and our updated guidance.
Thomas Scalera - ITT, Inc.: Thank you, Luca. Starting with Motion Technologies on slide 6, total revenue increased to $310 million and organic revenue growth of 5%, driven by 7% strength in Friction OEM in North America and China and improvements in the European aftermarket. Our Friction OEM business once again outperformed every market we serve, highlighted by 12% growth in North America and 8% growth in China. KONI sales grew 3% on high-speed rail share gain momentum. That was partially offset by a prior year defense program. And lastly, Wolverine declined 4% due to the loss of a sealings platform that we recently won back starting in 2020. Segment operating income at MT increased 8% to $57 million. The income growth was driven by volume leverage, favorable aftermarket mix and productivity gains. These improvements were partially offset by contractual price declines, higher commodity costs and $4 million in the strategic investments. As a result, Q3 MT margins grew 80 basis points compared to the prior year. Moving next to Industrial Process on slide 7. IP's organic revenue grew 6%, driven by an 11% improvement in projects on solid global petrochem and midstream oil and gas deliveries. Short-cycle activity, representing 76% of IP's Q3 revenue, was up 4% and 27% growth in valves, primarily in the bio-pharm market. Baseline pump shipments declined 1% due to timing. Organic orders at IP were up 26% and solid double-digit order growth in both projects and short cycle. The 74% project strength was driven by significant growth in chemical, petrochemical and general industrial markets. The strong order intake drove our project backlog up 24% in 2018, providing solid visibility into 2019. And the overall Q3 project funnel remains healthy, including strength in both midstream and downstream oil and gas and chemical activity. The 15% short-cycle order improvements included double-digit gains in the oil and gas and chemical markets with strong aftermarket and valve demand. IP segment operating income increased 35% to $24 million. The increase was driven by improved short-cycle pricing, higher volumes, favorable mix, restructuring savings, productivity and improved project execution. These strengths more than offset the impact from baseline pump timing and foreign exchange. Compared to the prior year, margins improved 270 basis points to 11.6%. Next, let's turn to Connect & Control Technologies on slide 8. In the quarter, organic revenue increased 11% to $166 million. The improvement was driven by 13% growth in commercial aerospace due to strong Connector component and rotorcraft share gains. In addition, oil and gas connectors improved 75% on increased global activity. General industrial grew 6%, including more than 100% revenue growth in EV connectors in Europe and North America. CCT's organic orders improved 17% with growth driven by 33% increase in connectors. Connectors had a fantastic quarter, the best in its recent history. And as you can see here, double-digit growth was delivered in every key end market, underscoring the broad-based demand we saw in the quarter. A large portion of this growth was due to share gain benefits, driven by improved operational execution that produced shortened lead times. Commercial aerospace component orders were down 11% due to difficult prior year comparisons and timing in rotorcraft. And in oil and gas, orders grew 22%, as higher oil prices drove demand for our wellhead connectors in North America and Asia. Segment operating income increased 25% to $27 million, representing margin growth of 180 basis points. The segment operating income growth primarily reflects the significant improvement in connectors' margin, which at 16.5% reached an all-time high. Next, let's turn to slide 9. As a result of our annual asbestos re-measurement and recent insurance recovery actions, our net asbestos liability in 2018 declined 10% or $52 million to $456 million. And keep in mind, this pre-tax liability reflects inflationary factors, but is undiscounted. Combining the impact of all of our liability and asset strategy since 2012, we've been able to reduce our net liability by 36%, while driving a 76% decline in outstanding claims. From a cash flow perspective, we continue to forecast the same annual average after-tax cash outflows over the next 10 years that we've previously projected. Also, on the insurance recovery side, we continue to work diligently to improve access to our insurance policies through future settlement coverage in-place agreements. So with that, let's now turn to our 2018 guidance update on slide 10. Now that we are entering the final quarter of the year, we are narrowing the ranges on our revenue and EPS targets. We expect total revenue to be up 6% to 7%, due to stronger share gains, offset by incremental foreign exchange headwinds compared to our prior forecast. Our updated Q4 euro-dollar exchange rate is now at $1.15. And based on our strong year-to-date organic revenue and order growth, we are increasing our previous organic revenue growth range of 3% to 5% to the new range of 4% to 5%. From a total revenue perspective, it is important to note the impact that foreign exchange will have on our total revenue. Keep in mind that last quarter, we indicated in our earnings slides that foreign exchange created an incremental $51 million headwind and that pressure has only intensified since August. On the margin front, we expect margin expansion to be at the high end of our 100 to 150 basis point range. In addition, the 110 basis point improvement in working capital and the 100% free cash flow conversion in Q3 gives us confidence that we can achieve another strong year of cash flow conversion. So, as a result of the strong volume growth, combined with the improved confidence in our operational execution, we are raising the low end of our previous adjusted EPS guidance by $0.08 and the midpoint by $0.04 to $3.14 per share. The $0.04 midpoint increase reflects our ability to more than offset our current assessment of incremental foreign exchange, material costs and incentive compensation costs of $0.04, with an $0.08 improvement in volume, mix and price benefits, as well as better execution. At the $3.14 midpoint, we will grow EPS by 21%, with only 2 points of the growth coming from lower global taxes. Now that you have the 2018 full-year framework, let me conclude with some additional fourth quarter and 2019 perspective. For the fourth quarter, we expect total organic revenue growth in the low single digits to be driven by CCT on continued strength in connectors and aerospace and defense markets. Fourth quarter revenue growth at IP will largely be determined by the timing of large project shipments under the new revenue recognition standards. So, there will be a higher degree of variability in the quarter that compares to a strong prior year. From an IP end market perspective, we expect solid activity in chemical and petrochemical, and downstream oil and gas, offset by lower upstream oil and gas project deliveries. Lastly, in the fourth quarter at MT, we expect strong double-digit OEM growth in China, while North America will be impacted by some prior year mix issues. However, for the full year 2018, both China and North American OEM Friction are expected to grow double digits. And for 2019, we are expecting both China and North America to accelerate growth into the mid-teens based on the trajectory of our recent share gains. From an ITT margin perspective, in the fourth quarter, MT and CCT are forecasting triple digit growth compared to the prior year. However, IP has mix pressures and difficult comparisons, so our margin growth expectations are accordingly muted. Corporate costs are expected to be generally in line with Q3 and the tax rate for the quarter and full year is projected at 23%. Lastly, we do not expect any meaningful Q4 or full-year impacts from the newly announced $25 million in share repurchases. So, let me wrap up on tariffs. We have already taken actions in 2018 to proactively mitigate the projected 2019 tariff exposures we know of today. At this point, we are deploying a variety of actions, including price increases, improved leverage of our local market manufacturing capabilities, and additional supply chain actions. As a result, we have already identified opportunities to reduce the 2019 exposure by over 50% to around high-single digit million, and we are working on additional mitigation opportunities to reduce the net impact even further while proactively monitoring any new developments. So, with that, let me now turn it over to Maria to begin the Q&A session.
Operator: Thank you. At this time, the floor is now open for questions. Our first question comes from Mike Halloran of Baird.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Good morning, everyone, and congratulations, Denise. It's been a pleasure working with you.
Denise L. Ramos - ITT, Inc.: Thanks, Mike. Appreciate it.
Mike P. Halloran - Robert W. Baird & Co., Inc.: So, let's start with some of those comments you just made, Tom. The mid-teen growth expectations in North America and China accelerating because of the platform wins, could you give some context to how you're looking at the underlying market going into next year? And I know this quarter you did about 4% positive revenue growth in a negative 1% kind of market. Could you also give us some context as to how you're looking at the level of outperformance as you look forward relative to those underlying market trends?
Thomas Scalera - ITT, Inc.: Yeah. Absolutely, Mike. I think we have pretty muted expectations for the global markets next year. What is uniquely different about ITT and what is the story for the 2019 China and North American OEM business is, is capitalizing on the share gains that we've been producing over the last several years. I think we're hitting an inflection point, particularly in North America and even in China, as we've been compounding these wins in the markets. So that's why we have an even stronger conviction around the mid-teens growth rate going into 2019 based on those wins. But I would say that we're generally – if you go across all the global markets looking anywhere from flat to plus 2% depending on which market, so muted expectations, but the story is an acceleration in the benefits from our share gains.
Mike P. Halloran - Robert W. Baird & Co., Inc.: And then when you think about the order trajectory underlying the IP segment, just some thoughts there on timing. You certainly made it clear that the fourth quarters could have some timing variability based on the large project side of the business, but order trends have improved. And so, what kind of confidence does that give you into what you can see next year, what is the underlying customer base saying, what's the momentum look like, and how are you thinking about that core business as you track into next year?
Denise L. Ramos - ITT, Inc.: When you look at IP, what's really positive from an IP perspective is when you look at their backlogs, and their backlog is up 35% versus prior year. So, it's been a pretty significant shift for them and it's in a variety of their end markets. Chemical has been extremely strong for them. We're looking for more strength in the downstream oil and gas as we head into 2019. And there's a good project funnel that's out there. Their project funnel since January 1 is up about 20%. So, when you put all that together, it gives you some positive momentum heading into 2019. And if you look at the backlog and you look at the projects that we have in backlog, what we have today is basically sufficient for what we need going into 2019. Tom, anything you want to add to that?
Thomas Scalera - ITT, Inc.: No. I think that's spot on. So, any additional project activity in Q4 is going to give us the additional confidence going into 2019. But as Denise mentioned, the backlog looks solid from a project perspective at this point, particularly given what we've seen in petrochemical and chemical markets.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Thank you. Appreciate it.
Thomas Scalera - ITT, Inc.: Thanks, Mike.
Denise L. Ramos - ITT, Inc.: Thanks, Mike.
Operator: Our next question comes from the line of Jeff Hammond of KeyBanc Capital.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning.
Denise L. Ramos - ITT, Inc.: Good morning.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Just a couple of top-level perspective questions from Luca. Just Luca maybe give me your early thoughts on how you want to address capital allocation with the pristine balance sheet ITT has. And then also, just as you assess the three businesses, where – I know you've been deep in a couple of them, where do you see the greatest opportunity for further margin expansion going forward? Thanks.
Luca Savi - ITT, Inc.: Okay. So, Jeff, thanks. Let me start with the biggest area of opportunities. In my remarks, I called our businesses gem, and I really believe that all of them are and for different reasons. It's not just for on the profitability side, but also growth. So, if you take CCT, for example, Jeff, our Connector business has reached record level of profitability, as you've listened to us talking. Still, we know that we can do better in our plans and in our overall performance. We haven't reached our entitlement there. In our aerospace business, it has good opportunities in terms of growth, think about what we're able to do with the rotorcraft business. This is a business where we were doing nothing, zero, and we created it organically. And on the productivity front, we are leaning out our facilities. Our Orchard Park facilities, we are expanding it because of our market share gains in rotorcraft. And while we are expanding, we are also leaning it out. At Motion Technologies, as well, the growth is there. You see it continue market share gains in North America and China. But regarding performance, you will expect it to see improve in margin because of the ramp up of our Silao facilities, as well as our acquisition, Axtone and Wolverine, where we have not reached our entitlement there. And for IP, growth opportunities, our traditional business in Bornemann pumps in valves, but also continue to improve our performance in the project execution, leaning our operations in Seneca Falls and now other sites, and also improve our make-and-buy strategy and our purchasing strategy across the globe. So, as you can see, really true gems and profitability opportunity across the board. Now, going back to capital allocations, I don't know, Tom, if you would like to answer that one?
Thomas Scalera - ITT, Inc.: Sure. Yeah. Jeff, the priorities – and we've been working on the 2019 strategic plan as a collective team, working hand-in-hand with Luca and Denise. And the strategic priorities and the capital allocation perspective are to really to build on this foundation and to continue to create value with these gems, as Luca calls them. So, we're going to continue to prioritize organic investments. That has been one of the key elements of our growth, particularly in margin and in market share. So, that's going to remain our top priority and really building off the core foundation that we have. From an inorganic perspective, it's the same philosophy, to maintain real close to core approach to building the businesses that we have today. We think there are some opportunities in some of the fragmented markets to build on the strong positions that we have, but our key element and philosophy is we're going to stay close to core and that's the point in how we approach the inorganic opportunities for this business. And then like we did today, when we see opportunities to return to shareholders additional capital, we will be proactive in doing that. So, I think you'll see a continuation of the current philosophy and that's the way forward from here.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. Great. And then just – I know you've made some changes in the way you go at projects in IP. I mean, can you just talk about kind of the mix of the projects in that 70% growth, smaller, larger, and how you're seeing the margins in that backlog? Thanks.
Thomas Scalera - ITT, Inc.: Jeff, I would say, we have a good mix of projects across end markets. So, we had good project order intake, chemical, general industrial, and in certain parts of oil and gas. So, it's broad based in that sense. And I would say, referring back to Luca's comments, the execution and the improvements that we've made around the way we manage projects is really what's changing the margin profile of our backlog more than anything. I would say pricing has remained as competitive as it has always been, but our ability to be more competitive and to really execute and manage these projects has improved, and that's improved our margin profile.
Operator: Our next question comes from the line of Matt Summerville of D. A. Davidson.
Matt J. Summerville - D. A. Davidson & Co.: Thanks and congrats, everyone. So, with respect to IP, I just want to make sure I understand, so sequentially margins were relatively flat. It sounds like there are some pluses and minuses to the margins in the fourth quarter, it sounds like maybe you are going to be relatively flat year-over-year. I guess, why does that business sort of seem like at least on a sequential basis, you're running out of steam a little bit with the margins? Can you help me understand the pluses and minuses looking forward here in the near term?
Thomas Scalera - ITT, Inc.: Matt, I would say, none of us feel that we're running out of steam at IP, just to address that concern. As Luca indicated, I think we're seeing the opportunities to continue the momentum that we've had this year. And the margin story for IP all year has been a real positive one. I think what you see in Q4 more than anything is some algebra. So, if we do end up with a large delivery quarter of projects, even good projects are going to be dilutive to the margins of IP. So, if the real step up in deliveries takes place and we're doing everything we can to be positioned for those deliveries and sometimes it's up to the customer, and when they ultimately take receipt, if we have a bigger project delivery, that is one of the factors that keeps the margins more muted from compared to last year. If some of those projects move into early next year, I think the margin story would be different. So, there's a tradeoff right now at Q4. But really the underlying trends of execution, margin expansion, what's driving IP are strong and will continue that way through Q4 into next year. We're just dealing with some mix timing on projects.
Matt J. Summerville - D. A. Davidson & Co.: Thank you. That clarification makes sense. And as a follow up, can you update on where margins are in the more recently acquired MT businesses, Wolverine and Axtone? Remind us maybe where they were when you bought them, where they are now and then where you think they can go in the next couple of years? Thank you.
Thomas Scalera - ITT, Inc.: Matt, so I – under – the two businesses, Wolverine and Axtone, good solid businesses. We obviously have the purchase accounting to deal with. When you layer that on top, we generally kind of came out of the gates of those businesses in the low- to mid-single digit margin category. What we've done first with Wolverine is start to implement our management system, implement the automation and generally the approach that we've taken that's made Friction so successful. We've been implementing that same approach at Wolverine. And now, we are gaining momentum in years three – two, three and four. We're gaining some really nice margin momentum and we've been talking about that throughout the course of the year. Axtone, more recently acquired, taking a little bit more time to implement the management system that's typically for rail business, I would say. So, the longer term projections for these businesses are to get them up into the mid-teens from a margin perspective. I think Wolverine is right on track with what we would have expected operationally. I think Axtone is just starting to power up. I think on a combined basis, they were up about 100 basis points in margin in Q3 compared to last year. So, I did say we're making good momentum, but we have a long way to go, but so far so good.
Operator: Our next question comes from the line of John Inch of Gordon Haskett.
Ivana Delevska - Gordon Haskett Research Advisors: Hi. This is Ivana on for John. Just wanted to ask about your Friction backlog and how do you expect it to layer in over the years?
Thomas Scalera - ITT, Inc.: Ivana, so the backlog for Friction is really – it's a little different than some of our other businesses. It's more about the order and the award visibility that we have. It's not the same as backlog from our long-cycle IP business. So, our real good visibility within Friction comes from the orders that we have, the start of production conversations that we have with our customers, and we combine all that information to build out the projections. And as we indicated, a lot of those new production ramps and recent wins will drive that mid-teens OEM growth for North America and China into 2019. And I think with Europe, it's a little bit of a different story. You know what, we expect to outperform the market, but it's a different backlog dynamic there. So, that's what drives our visibility into 2019, but we like how things are ramping up based on the visibility we do have. But, Luca, do you want to add anything to that comment?
Luca Savi - ITT, Inc.: Yeah. Just to remind what Denise has just shared. When you look at the awards that we are supposed to win in 2018, we are already, end of Q3, 90% there. And then, when you're looking at the awards that we set ourselves to conquer and win, the market share gains that we decided to go after in 2018, for the full year, end of September, we already reached that number. So, that is that we are quite comfortable for the market share gains that are going to be there in the future. Be always aware that these awards that we get this year that we start production in two years from now.
Ivana Delevska - Gordon Haskett Research Advisors: Thank you. And just one more question on Motion. Will the Wolverine sealings platform loss impact 2019 as well or do you have any offsets organic growth?
Thomas Scalera - ITT, Inc.: That particular platform will be a little bit of a headwind going into 2019. The offset, well, the team fought really hard to win back that platform. So, we'll get back to production in 2020. It's not a major platform at the MT level. So, I think that the team has plenty of other offsets, but we're happy that when we had the opportunity to win that back, the team went and won it back.
Ivana Delevska - Gordon Haskett Research Advisors: Thank you.
Operator: Our next question comes from the line of Joe Ritchie of Goldman Sachs.
Joseph Ritchie - Goldman Sachs & Co. LLC: Thanks. Good morning, everyone, and I echo everybody's congratulations, Denise.
Denise L. Ramos - ITT, Inc.: Thanks, Joe.
Joseph Ritchie - Goldman Sachs & Co. LLC: So, I guess maybe my first question, just specifically on Industrial Process and the growth that you're seeing on the project side of the business. Can you just maybe talk a little bit about what you're seeing in terms of size of funnel? And specifically, like 70%-plus growth the last couple of quarters, I mean, nobody is seeing that kind of growth that we're tracking. Just wondering how much of this is share gains. So, any commentary around that would be helpful.
Denise L. Ramos - ITT, Inc.: I'd just start by talking about the project funnel. And if you look at the project funnel since January 1, it's up about 20%. We are seeing good momentum, as we've said before, around the chemical market. That seems to be a real strength for us, is the chemical market, and then also in the downstream oil and gas side of things. So, upstream, a little bit softer from that standpoint, but the project business seems to be pretty strong out there right now.
Joseph Ritchie - Goldman Sachs & Co. LLC: Okay. All right. Got it. But I guess then that follow-on question around the share gain versus, like, what you're seeing from a competitive standpoint. And maybe if you can layer in some commentary around pricing that you're getting in your backlog that would be helpful too.
Luca Savi - ITT, Inc.: Okay. Hi Joe, this is Luca. When we look at the market out there, I think that the market is still very competitive. So, we are not experiencing really a major difference in terms of the pricing strategy in the market. Now, as Tom has highlighted, though, our more rigorous, diligent and better execution, as well as the restructuring actions that we have taken in the previous couple of years made us more cost competitive, which means that the profitability of these projects when they are coming in are better for us than what we have seen in the past. On top of that, I would say also that as you are executing these projects better, what you start seeing rather than project leakage, you start seeing project opportunities in terms of change orders, et cetera, because when your stuff is ready to be shipped on time or even before the due date, then you have just simply more negotiation power. So, this is what we see out there in the market. So, the competitors are still there fighting together with us, but I think that we are in a good position and shows with the orders in the backlog and the funnel.
Joseph Ritchie - Goldman Sachs & Co. LLC: Okay, great. Thank you both.
Operator: Our next question comes from the line of Brett Linzey of Vertical Research.
Brett Logan Linzey - Vertical Research Partners LLC: Hi, guys. Good morning, all. Congrats to everybody.
Luca Savi - ITT, Inc.: Hi, Brett.
Thomas Scalera - ITT, Inc.: Hey, Brett.
Brett Logan Linzey - Vertical Research Partners LLC: Just wanted to come back to Motion Tech and specifically the Friction business. I mean, you've talked about the $3 billion-plus of OEM Friction awards. This would compare to OE Friction revenue base of about $600 million plus. I guess, as you think about how that layers in for the next several years here, you would think you have pretty good coverage on that revenue base for at least the next couple of years. I guess, one, am I thinking about that correctly? And then, two, should we think about revenue coverage plus aftermarket any content multiplier on top of that as we look into 2019 and 2020? Thanks.
Thomas Scalera - ITT, Inc.: Hey, Brett. Yeah. So, the coverage would be there from that backlog, and we would agree with the math and the assessment down the road. One of the challenges as you think on an annual basis inside that five-year projection is what years do we have started production ramping and platform dynamics. As we indicated for 2019, it's a year where we do see some really good project ramp activity in China and North America. So, that's the dynamic I think behind how it plays on an annual basis, but the coverage has been good. And at this point, as Luca mentioned, our order target for this year we're already at 90% of our full-year target through Q3. So, we are continuing to add awards to this total, including the seven new awards that we mentioned in the slides and in the call. So, we're also not only feeling good about what we have and how it fills in for 2019 and beyond from an award perspective, we also are continuing to win front-axle platforms. We're continuing to win in China. We had some nice EV content inside of our wins this quarter. So, we're continuing to win across multiple dimensions and deliver on our award targets we set for ourselves coming into the year.
Denise L. Ramos - ITT, Inc.: And let me just remind everyone that that $3 billion that we put out there, as Tom said, doesn't include any future awards. It doesn't include the aftermarket. It doesn't include – we're working on the Smart Pad and the commercialization of the Smart Pad. It doesn't include that. So, all of those things are upside. And the other thing to mention about the MT platform is we're very diversified from a customer perspective, and I think that's really important. So that – specifically, let's talk about China. In China, we're in many of the multinationals, but we're also with the locals. We're on a variety of different platforms. So, that diversification also helps as you think about cyclicality in markets and how we can – that helps us to buffer some of that as we go forward.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. That's great color. And then maybe just shifting to CCT and focus on margins, really seeing a step change in the performance there. A lot of the repositioning actions you guys have taken seem to be paying off. I guess, as you look out over the next year or two, how do you see the margin entitlement and outlook for that segment, as some of these operational improvements really take hold?
Luca Savi - ITT, Inc.: Okay. So, I think that when we look at CCT, you're looking at really two main areas. One is the Connector business and also the components. So, as I shared before, I think there is room for improvement in both of them, even though they are nicely profitable today. So, when you look at the connectors and as well as the components, I think our entitlement should be in the high-teen, high-teen-plus, high teens for the connectors and high-teen-plus for the components.
Brett Logan Linzey - Vertical Research Partners LLC: Okay. Great. I'll pass along. Thanks a lot.
Operator: Our next question comes from the line of Joseph Giordano of Cowen and Company.
Unknown Speaker: Good morning, all. This is Rob (00:55:36) in for Joe this morning. I just had a quick question. If you guys could give us a little bit of insight in how you see restructuring spending moving in 2019 versus 2018?
Thomas Scalera - ITT, Inc.: Rob (00:55:50), so the number for 2018 has come down quite a bit from where we were in 2017. I think we've undertaken a lot of restructuring over the last couple of years. We've built a good solid foundation and have improved our cost competitiveness based on those actions. Right now, as we start to detail the operating plan for 2019, there's still some work to be done. It's a little early to kind of get out there right now ahead of that. Probably where we would see some incremental activity in 2019, some of that we pushed out from 2018 is around the Axtone acquisition. That's an area where we do have some elevated restructuring. So, some of the newer acquisitions are still opportunities for larger restructuring. But we're detailing that out right now as we do our operating plan reviews in November. So, we would give you more insights there, but right now, nothing else too major at this point.
Unknown Speaker: Okay. That's great. Thank you.
Operator: Our final question comes from the line of Nathan Jones of Stifel.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Denise L. Ramos - ITT, Inc.: Nathan.
Thomas Scalera - ITT, Inc.: Hey, Nathan.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Let me add my congratulations to both Denise and Luca.
Denise L. Ramos - ITT, Inc.: Thank you.
Luca Savi - ITT, Inc.: Thank you.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: First question, I'd like to talk a little bit more – I'm thinking a little bit more longer time about the IP margin potential here. I mean if I look back historically, margins got to about 17% in 2008. But I would think that was an extremely different pricing environment back then. In 2014, 2015, I kind of got into the low-teens, 14-odd-percent range, but I would think that the cost base has changed pretty significantly over the last couple of years. So, just any thoughts you could give us on potentially where margins could get to over the next, I don't know, two, three, four years.
Luca Savi - ITT, Inc.: Hi, Nathan. This is Luca. And what we have seen is that as we are getting better on the – in our (00:58:01) review, in our projects reviews, in the way that we're running our factories, we have started changing our view on what our entitlement is. And we always said that our entitlement was at 15%. And as we see today, our – and this is what we are communicating and we are sharing with the team is our entitlement in 15-plus in the next three to five years for IP.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: And then, on Smart Pad, it sounded from Denise, some of your comments that you're in some testing phases here, getting closer to actually commercializing the product and generating real revenue out of it. How do you see that progressing over the next, I don't know, say, three- to five-year kind of time period specifically on Smart Pad when it might actually start hitting cars and generating revenue and how that would progress?
Denise L. Ramos - ITT, Inc.: Yeah. You know, Nathan, with automobile production and some new technology like this, obviously, it takes some time to test these things. The good thing about it is we're now doing some on-board testing with this with a couple of our customers. And so, that's the first step. We've got to go through that process and then you can figure out – you can get on a platform, but then the platform usually takes a number of years before you start production with that platform. So, really you're looking at going out three to five years before we're really going to start seeing the commercialization of the Smart Pad. The important point is that we keep making progress and we keep ahead of the curve with everyone on the Smart Pad. So, we've got to go through this initial phase, we'll get it worked out and then we'll see it later in the three- to five-year timeframe.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Okay. And then one last one, incremental growth investments, you guys have been consistently ramping those up each year over the last few years and clearly making some pretty good progress and some pretty good wins out of them. Do you see opportunities for incremental growth investments in 2019 above the level that they are in 2018, and any kind of magnitude you could give us on that?
Thomas Scalera - ITT, Inc.: Great question, Nathan. We do agree that the investments that we've been making over the last couple of years have really generated some really strong share gains and growth and momentum on some of these key initiatives. I would say for 2019, yeah, again we're still working on the operating plan, but I would expect it to generally stay at levels that we're at in 2018. One area that we'll see a little variation is obviously the Silao, Mexico facility for Motion Technologies is getting into the ramped up volume phase for 2019. So, there's going to be less of an impact from that particular investment. But I would say sitting here today that we're very opportunity rich, and if we see opportunities like the ones that we've been investing over the last couple of years, we'll certainly continue to invest in those. But, for now, I would say probably consistent level with 2018, but more work to be done as we finalize the operating plan.
Nathan Hardie Jones - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. Thanks very much.
Thomas Scalera - ITT, Inc.: Thanks, Nathan.
Denise L. Ramos - ITT, Inc.: Thanks, Nathan.
Operator: Thank you. I would now like to turn the floor back over to Denise Ramos for some closing remarks.
Denise L. Ramos - ITT, Inc.: So, I want to end today's call – actually, my last after a marathon run of 50 ITT investor conference calls, by thanking both the analysts and the investors that have supported ITT and have supported me through the years. I really appreciate the relationship we have built over the years, and while frankly, I will not miss these calls at all, I will miss many of you. And to the employees all across ITT, thank you for helping me build this incredible company. I will certainly miss you all, but I'm so excited about the future of ITT. The foundation is rock solid and the growth potential is absolutely spectacular. So, once again, and for a last sincere time, thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. Please disconnect your lines at this time and have a wonderful day.